Operator: Good day ladies and gentlemen and welcome to Stericycle's Fourth Quarter Earnings Release Conference Call. At this time, all participants are in a listen only mode. Later we'll conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ms. Liz Brandel, Vice President of Finance. Ma'am you may begin.
Elizabeth L. Brandel - Vice President of Finance: Thank you and welcome to Stericycle's quarterly conference call. On today's call will be Frank Ten Brink, Chief Financial Officer; Rich Kogler, Chief Operating Officer; and Mark Miller, Chief Executive Officer. I will be reading the Safe Harbour statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks and should be viewed with caution. Factors described in the company's Form 10-K, 10-Q as well as its other filings with the SEC could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events, or circumstances after this date that may bear upon forward-looking statements. I will now pass the call to Frank.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Thanks, Liz. The results for the fourth quarter are as follows. Revenues grew $42.9 million to $251.6 million, up 20.5% from $208.7 million in the quarter four of '06. Internal growth for the company was $24.8 million or over 12%, which is adjusted for the divestiture of some assets of STG and foreign exchange. Domestic growth was 12.5% and international growth adjusted for exchange and divestiture was 11%. Domestic growth consisted of SQ, up 12% and LQ up 7% and returns management growth of $5.3 million. Gross profit was $112.4 million or 44.7% and SG&A expense was $49.3 million or 19.6% of revenues. Operating income was $47.2 million or 18.8% of revenues. Operating income in the quarter included $13.9 million charge for the Australia arbitration settlement, $2 million charge for the impairment of White Rose trade name in the U.K. Net interest expense was $8.8 million versus $7.1 million in '06 due to increased borrowings related to acquisitions and repurchases of shares. GAAP net income was $24.1 million or $0.27 per share. The impact of the arbitration settlement, investment and trade name write downs, partially offset by insurance proceeds and the gain of sale of assets was a reduction of net income of $9.8 million or $0.11 per share. Non-GAAP net income, excluding the items would have been $33.9 million or $0.38 per share. At the end of the quarter, the revolver borrowings were approximately $466 million. The unused portion of our revolver is approximately $245 million. We repurchased 159,914 shares of common stock on the open market in an amount of approximately $8.5 million. Since the beginning, the repurchase program, on a split-adjusted basis, we’ve purchased a total of over 8.5 million shares. We still have authorization to purchase an additional 3.6 million shares. Our capital spending was $10.8 million in the quarter and our DSO was 58 days. The cash provided from operations was $45.9 million. Now a brief recap of the full year. For the year ended December 31, '07, revenues increased to $932.8 million, an increase of 18.1% from a year ago. Gross profit as a percent of revenue was 44.8% for the year ended December ‘07 versus 44.3% for the year ended December '06. GAAP earnings per share increased to $1.32 from $1.16 per diluted share from a year ago. This is split adjusted. Non-GAAP income per share increased 22% to $1.42 in '07 from $1.16 in '06. The cash flow from operations for year was $174 million for the full year of '07. And that was it from a numbers point of view. And I'll turn it over to Rich.
Richard T. Kogler - Executive Vice President, Chief Operating Officer: Thanks, Frank. We just want to thank each member of our worldwide team for another solid performance and for their continued commitment to our customers and shareholders. As we finish the year, we enjoyed strong sales growth in all of our business segments. The SQG growth was primarily driven by SteriSafe with over two-thirds of new SteriSafe customers choosing select or preferred. SteriSafe contributed approximately 55% of total small customer revenues. LQ sales growth was driven by the continued adoption of our Bio Systems offering and new LQG [inaudible] contracts. In summary, we ended Q4 with approximately 394,600 accounts, of which approximately 384,900 were small and the remainder were large. And I'll turn it over to Mark.
Mark C. Miller - President, Chief Executive Officer and Director: Thanks, Rich. I'd now like to provide insight on our current outlook for 2008. And please keep in mind that these are forward-looking statements. During the fourth quarter, we completed three domestic and two international acquisitions. We also purchased the remainder of our joint venture in Mexico. And as previously mentioned in our last conference call, we closed on an acquisition in Canada. Incremental revenue impact in the fourth quarter of 2007 was approximately $3 million and the annualized revenue of these acquisitions is approximately $20 million. Keep in mind the guidance does not include future acquisitions or divestitures. We believe that analyst's EPS estimates will be in the range of $1.65 to $1.69, which we are comfortable with. We believe analyst estimates of revenues for 2008 will be in the range of approximately $1.02 billion to $1.04 billion, depending on assumptions of growth in foreign exchange rates. We believe analysts will have estimates for net income between $148 million and $152 million depending upon assumptions for margin improvement and interest expense. And we believe analysts will have estimates for free cash flow between $140 million and $145 million with CapEx anticipated between $45 million and $55 million. In closing, we're very excited about the tremendous growth opportunities in 2008 and beyond. We thank you for your time and we will now open to question and answer. Question and Answer
Operator: Thank you [Operator Instructions]. First question comes from Ryan Daniels from William Blair.
Ryan Daniels - William Blair: Good evening, guys. Sorry about that. Can you hear me now?
Mark C. Miller - President, Chief Executive Officer and Director: Yes, we can.
Ryan Daniels - William Blair: Sorry about that. A couple of quick housekeeping questions up front. I wondered if you could give us the locations of the international acquisitions?
Mark C. Miller - President, Chief Executive Officer and Director: There are five deals, they were three domestic and two international, they were in Mexico... one in Mexico and one in Argentina.
Ryan Daniels - William Blair: Okay. Great. And then do you have the number of new large quantity ads, the new Bio Systems ads?
Mark C. Miller - President, Chief Executive Officer and Director: The new Bio Systems in the quarter was 73 accounts and the other number you asked for?
Ryan Daniels - William Blair: The large quantity generator, new waste account.
Mark C. Miller - President, Chief Executive Officer and Director: That was about 56 new accounts in the quarter.
Ryan Daniels - William Blair: Okay, great. Then a couple of bigger ones. Obviously one of the topics de jure has been potential economic slowdown and I am curious if you guys are seeing any impact of that. I know your business is really non-cyclical, but maybe anymore push back from any of your customers that are seeing a slowdown on pricing or, how do you view that as you look forward through 2008?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: On economic slowdown, we have not seen effects of it. It's one that fortunately for us the space that we are in, tends to be fairly resistant to the economic cycles, will it be demand for healthcare services or the like. So we have not seen any symptoms of it.
Ryan Daniels - William Blair: Okay. Great. And then I know in the past you have discussed some of the research you're doing on the infection control side especially for the large quantity generators and the water decontamination management. Have you guys reached a point where you're ready to move that pilot phase or research more into production, especially given all the headlines we've seen lately about infection control and reporting and kind of not paying for the [inaudible].
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: We are still continuing to pilot it, we've got a couple of different programs, but kind of consistent with the way that we’ve dealt with it in the past. We haven't included anything in our guidance. They're still being piloted in different areas and similar to what we did with Bio Systems some years back when we're ready to actually roll out then we'll provide guidance then we'll give you little more color.
Ryan Daniels - William Blair: Okay, great. And last question, I'll hop off. It sounds like the integration over in the UK is going well and I was curious on the Bio Systems front. I know you guys have talked about it only being roughly 30%... 25% to 30% penetrated in the U.S. So plenty of growth left here. But is that something you're thinking about now is that integration can pull you through rolling out Bio Systems overseas in some of your larger markets?
Richard T. Kogler - Executive Vice President, Chief Operating Officer: I think Bio Systems as a modality would be a future rollout for us. I think our first and foremost concentration is focusing on the integration and driving in the small quantities space first, that Bio Systems would be a market-by-market activity in other markets, but look at that as a Phase II type program.
Ryan Daniels - William Blair: Okay. Great. Thanks for the color guys.
Operator: Our next question comes from Robert Willoughby from Banc of America Securities.
Robert Willoughby - Banc of America: Thanks. Mark or Frank, just what percentage of the revenues of your business, I assume it's a majority here would be considered recurring or in other words what piece of the target that you threw out there, do you really feel was in the bag at present for '08?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think if you really look at the kind of run rate added 251 obviously, we were better than that may be expected. Of that maybe growth was about a little over too higher, foreign exchange aided it by 1.8. The returned services was maybe $3 million more and that was really more and better recall. So I think that's something that you shouldn't continue with and then acquisitions contributed about 3. So overall, again if you look into markets and you look at what we did last year in the RMS the returns business that one probably next year is for a total of about $70 million to $85 million. So, in the total scheme I think it's a lower than what they almost did this year and so that one you need to watch with a little bit because there is some larger recalls in that.
Robert Willoughby - Banc of America: Okay. And just the profitability trend here, is this just business mix issues predominantly?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes. I mean if you look really international was higher, the acquisitions had a mix impact on the margin. And then obviously the pass through we’ve had higher fuel in the quarter and that has been passed through. So I mean those combined, you are talking at least 30 to 40 basis points impact on the gross margin.
Robert Willoughby - Banc of America: Okay, and lastly it sounds like you consolidated your Mexican joint venture, any sense how big that was, was that a below the line investments and now it’s majority for you?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: It always was a majority, so it was fully consolidated and so from that point we acquired the additional 36% from our partner and that was obviously a good deal for both parties.
Robert Willoughby - Banc of America: Okay, that's it thank you.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Thank you.
Operator: Our next question comes from Alina Cellura from Citi Group.
Alina Cellura - Citi Group: Hi good evening. Just a quick question again on the margins. Are you still anticipating margin, sequential margin expansion of roughly 20 to 40 basis points, even given higher fuel cost spend and just acquisition mix there?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think, yes, on the core business you continue to have that 20 to 40 and that obviously does not include any impact of acquisitions or foreign exchange or if we do more pass throughs those always make it a little bit more difficult and it probably will happen obviously next year. And even if you look, you have to kind of reset the clock a little bit based on Q4 with the pass throughs and the new acquisition in the mix and that probably has at least 40 to 50 basis points.
Alina Cellura - Citi Group: Okay and also SG&A was significantly higher than what I had anticipated and I am just wondering if this is sort of a good level [inaudible] for '08.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think for '08 you kind of are looking at high 18s, close to 19 not way dissimilar but it's obviously going to be on the higher revenue.
Alina Cellura - Citi Group: Okay. So was there anything different this quarter bumping it up to 19.6?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think in this quarter you had a little bit higher investment spend. Then obviously you had the higher percentage still for acquisitions in the quarter, they kind of closing at a higher percent themselves, internationally with the higher revenue so there is some mixed issues and there is higher percentages from acquisitions, we had slightly higher option expensing because of the higher share price overall that increases a little bit.
Alina Cellura - Citi Group: Okay, so the rest of '08 though we are going to expect to be more towards the higher 18%?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: High 18%, yes.
Alina Cellura - Citi Group: Okay great thank you.
Operator: Our next question comes from Scott Schneeberger from Oppenheimer.
Scott Schneeberger - Oppenheimer: Hi good afternoon guys. Just I guess starting off here, the US acquisitions you give us little more color about the international, could you take us a little deeper please on the three in the US?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: The three in the US, one was obviously unknown which was the Med Solutions transaction that was the largest one, and really from a materiality, the one that really to concentrate on. And there were two smaller ones, one on the East coast and the other one was, yes, also on the East coast.
Scott Schneeberger - Oppenheimer: And I guess you had answered a prior question saying about a 40% to 50% impact on gross margin in the quarter from acquisitions for ex pass throughs other.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes.
Scott Schneeberger - Oppenheimer: Okay. Just to confirm that. Could you speak just for a moment for returns, recalls, I believe Frank, you said incremental 5.3, could you give us the absolute number in the quarter for revenue?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I don't know what the 5.3? You mean the gross, sorry, the growth number versus the prior year. So if you take the internal growth without the total, they did about 21.1 million in total. And sort of growth versus the prior year there was a little bit of an acquisition in there but 5.3 was the internal growth, and obviously that grew from a percentage internally over 30% year-over-year.
Scott Schneeberger - Oppenheimer: And then the Mexican JV, that's exclusive of the acquisitions in the quarter. How much of a revenue impact was that, is that something in [inaudible]?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: The Mexico was already fully consolidated, so there was no impact on a revenue point of view, there is a small impact on the minority interest, that's not that material in number.
Scott Schneeberger - Oppenheimer: Okay. Thanks. I will hop out there. Thank you.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Okay.
Operator: Our next question comes from Jason Rogers from Great Lakes Review.
Jason Rogers - Great Lakes Review: Good afternoon. Looking at the Bio Systems, what was the revenue in total from Bio Systems in '07 and if you have a target for '08?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think if you look... we don't break it out. But again, Bio grew North up 20% between 20% and 30% year-over-year, it's part of the LQ revenue, which obviously had a nice growth rate, both in the quarter and for the year.
Jason Rogers - Great Lakes Review: Okay. And what was the percent of revenue for fuel and energy cost in the quarter?
Mark C. Miller - President, Chief Executive Officer and Director: Fuel and energy was up pretty strong from Q3, it was 6.13% of revenue or 42 basis points higher than Q3. And I think we're all are aware of the challenge that you face when oil hits $100 a barrel. The good news again is that our contracts are flexible, and we are able to pass those costs through. As Frank alluded to earlier though, because of the timing of the pass through and the fact that you're sort of doing dollar-for-dollar to pass it on to the customers, there is some impact to margin.
Jason Rogers - Great Lakes Review: Are you seeing any resistance from customers for that increase?
Mark C. Miller - President, Chief Executive Officer and Director: I think we all go to the same gas pump. We all understand that this is just the fact of life.
Jason Rogers - Great Lakes Review: Okay. And finally the SteriSafe, what's the penetration rate now out of the eligible base there?
Mark C. Miller - President, Chief Executive Officer and Director: We're at about 39% and we're looking at being North of 40% is our goal for the full-year, the '08 year.
Jason Rogers - Great Lakes Review: Okay. Thanks a lot.
Operator: Our next question comes from Scott Levine from JPMorgan.
Scott Levine - JP Morgan: Good afternoon. Regarding the U.K., did you guys a number for the percentage, total RSQ customers as a percentage of total base there?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: It's over 20%.
Scott Levine - JP Morgan: Over 20%, okay. And then with regard to the tax rate, a little bit lower than what we were looking for in the quarter, is that a good go-forward number or should we sell in the 38 range?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think the 38.5 is a good rate for '08 with a little bit of a year-to-date [inaudible] in the fourth quarter.
Scott Levine - JP Morgan: Okay. One last one. With regard to the acquisitions, particularly Med Solutions as well, is there a timetable for integration, should we be thinking about back ending the margin ramping in 2008 reflect integration of some of these acquisitions?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes. That integration for the geography is a nice sized one, it takes a little longer probably a 6 to 9, same with Canada the one that concluded and we mentioned that in the last call, those are a little larger for the respective geographies, so a little longer integration cycle.
Scott Levine - JP Morgan: Great. Thank you.
Operator: Our next question comes from Jonathan Ellis from Merrill Lynch.
Jonathan Ellis - Merrill Lynch: Thanks. Good evening guys.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Hello.
Jonathan Ellis - Merrill Lynch: I wanted to just ask a front. What are the total number of SteriSafe accounts as of the end of the quarter, and then the percentage of accounts that are on the higher levels?
Mark C. Miller - President, Chief Executive Officer and Director: Yes. The total number of accounts were down North of a $117,000 on the program, and the number that are on the higher levels is about…
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: 23.3
Mark C. Miller - President, Chief Executive Officer and Director: Yeah, about 23.3 is the percent that are in the higher-level program.
Jonathan Ellis - Merrill Lynch: Okay, great. And as you think about the mix for SteriSafe in 2008, any specific target you have in terms of percentage of total SQ revenues?
Mark C. Miller - President, Chief Executive Officer and Director: In terms of percentage of total SQ, we are looking at something higher than 60%.
Jonathan Ellis - Merrill Lynch: Okay, great. And talk a little bit about the guidance you gave here. It seems like obviously revenues are above what you previously guided for 2008. What's the primary source of that upside?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: It was really the acquisitions. I mean if you think about it, you have kind of two things, $20 million roughly on the acquisitions that weren’t in the guidance before and growth anywhere between $5 million to $10 million.
Jonathan Ellis - Merrill Lynch: Okay. And given that SQ grew at 12% this quarter. I know in the past, you said normalized growth is 8% to 10%, any thoughts about the trajectory for SQ growth in 2008?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: It includes the pass through, which for probably it is about a little over 1.5 percentage points of that. So, I mean overall that brings it kind of close to in line to the 10% that historically we've had.
Jonathan Ellis - Merrill Lynch: Okay, great. And then just quickly on the international side, could you break out the acquired versus organic growth in the international business during the quarter?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: The acquired growth in the quarter for international was about $5.8 million of their growth.
Jonathan Ellis - Merrill Lynch: Okay.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: But you have to offset that with about 4.2 million of the divestiture, so you kind of get offsets. But in total roughly, you are looking at, excluding again the foreign exchange and the divesture, any acquisitions at about 11% internal growth, which was about $4.8 million.
Jonathan Ellis - Merrill Lynch: Okay, great. And then just quickly in Argentina, I saw there is… you mentioned in your press release a legal restructuring of operation there. But you do, correct me if I am wrong, you still do have a wholly owned subsidiary in that country?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes, we do.
Jonathan Ellis - Merrill Lynch: Okay. And then just finally in terms of the surcharge you have in place, what portion of your incremental energy cost during the quarter were offset by that surcharge recognizing that there is a lag?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Again, there is a little bit of a lag, not that much. Again our goal is again to pass it through, and historically we have been able to do that.
Jonathan Ellis - Merrill Lynch: Okay, thanks guys.
Operator: [Operator Instructions] Our next question comes from David Manthey from Robert W. Baird.
Dave Manthey - Robert W. Baird: Hi, good afternoon. Thank you. You mentioned fuel and energy as an area where you're seeing some inflation. Is there any other inflation impacting your business right now?
Richard T. Kogler - Executive Vice President, Chief Operating Officer: You get your normal, obviously labor factors and benefits. Those are the ones, benefits probably like any company always tries to look at that carefully. That's probably the one that I would say is pressuring the most. We try to obviously offset over time that with productivity and improvements.
Dave Manthey - Robert W. Baird: Okay. Normal type wage inflation, we're talking low single digits there in general?
Richard T. Kogler - Executive Vice President, Chief Operating Officer: Correct. No extra things, there are no out of the ordinary, not that we couldn't offset with some productivity.
Dave Manthey - Robert W. Baird: Okay. And then on the returns management business, I am wondering at what point does that business become large enough that you have enough customers that it smoothes out some of the lumpiness there. And maybe if you could give us an example or two, some non-traditional wins that you had here in the last quarter or so?
Mark C. Miller - President, Chief Executive Officer and Director: I think we are not sure at what point you get to where you have a total smoothing because as long as you are managing the recall space, you're going to have lumpy activities, so it is not something even if you could add thousands of customers, they are all might going to have a uniform distribution of what the recalling, what those revenues will look like. I think, as we continue to grow our business and we build more and more in the returns management, that it tends to be more steady state, probably add on as we have done more investigative and consultative type services to help people be prepared for activity that will help smooth it out, but I'm not sure you really ever get to a point where its a pure 95% predictability level.
Dave Manthey - Robert W. Baird: And then any examples, I think you did an RV recall and there's been some other things, could you give some examples of things you are doing now?
Mark C. Miller - President, Chief Executive Officer and Director: We've had a couple that have come in, in the non-focus area where we've had outside of the healthcare space but the bulk of our activities really revolve around the healthcare services type universe. We do get customers that come to us outside of that universe and that's really driven by the reputation that we have been able to build for, people that really want to focus. But it is the vast majority, are in the healthcare.
Dave Manthey - Robert W. Baird: And you mention in acquisition. In that area was it adding capability or what was the acquisition related to?
Richard T. Kogler - Executive Vice President, Chief Operating Officer: No, that's an acquisition that we have done already previously, there was none done in the quarter itself in the space.
Dave Manthey - Robert W. Baird: Okay. And then final question. Is there any change in the acquisition landscape due to the economy of the credit markets meaning, our target is having a harder time accessing growth capital or is there any other change that's impacting your targets?
Richard T. Kogler - Executive Vice President, Chief Operating Officer: I’d say to date we haven't seen meaningful change, I think there are probably it's going to be pressures in some of the super high leverage transactions. From time to time we have seen people that are in the private equity space trying to dabble in the area and going in at super high leverage multiples. But what’s happened in he borrowing field, I think that's going to be tougher for people who do and there's going to be more scrutiny. So I think it will help normalize, but I don't think it's been a material change to what we have seen in purchase price multiples.
Dave Manthey - Robert W. Baird: Thank you.
Operator: [Operator Instructions]. We have a question from Scott Schneeberger from Oppenheimer.
Scott Schneeberger - Oppenheimer: Yes, thanks for the follow-up. Just a couple of quick ones. Frank, the Australian arbitration situation is that completely done now as of fourth-quarter?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think it is.
Scott Schneeberger - Oppenheimer: Okay great. Including legal fees and charges?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Correct.
Scott Schneeberger - Oppenheimer: Okay thanks. And then just following up on a discussion of our returns recall business any change to your goal for EBIT margins, just a little more color on that thanks?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think again very similar that the goal is to get to the 15 and then grow from their percent on the EBIT side, guidance again for '08 between $70 million and $85 million in revenues and that's kind of the base, which they are starting from.
Scott Schneeberger - Oppenheimer: Yes. Thanks very much.
Operator: I'm showing no further questions at this time sir.
Mark C. Miller - President, Chief Executive Officer and Director: Well we thank everybody for your time and attention, we are excited about a great year ahead and we look forward to talking to you on our next calls. Thanks so much.